Operator: Good afternoon, and welcome to WEC Energy Group's Conference Call for Third Quarter 2025 Results. This call is being recorded for rebroadcast. [Operator Instructions] In conjunction with this call, a package of detailed financial information is posted at wecenergygroup.com. A replay will be available approximately 2 hours after the conclusion of this call. Before the conference call begins, please note that all statements in the presentation, other than historical facts, are forward-looking statements that involve risks and uncertainties that are subject to change at any time. Such statements are based on management's expectations at the time they are made. In addition to the assumptions and other factors referred to in connection with the statements, factors described in WEC Energy Group latest Form 10-K and subsequent reports filed with the Securities and Exchange Commission could cause actual results to differ materially from those contemplated. During the discussions, referenced earnings per share will be based on diluted earnings per share, unless otherwise noted. This call also will include non-GAAP financial information. The company has provided reconciliations to the most directly comparable GAAP measures in the materials posted on its website for this conference call. And now it's my pleasure to introduce Scott Lauber, President and Chief Executive Officer of WEC Energy Group. Please go ahead.
Scott Lauber: Good afternoon, everyone, and thank you for joining us today as we review our results for the third quarter of 2025. Here with me are Xia Liu, our Chief Financial Officer; and Beth Straka, Senior Vice President of Corporate Communications and Investor Relations. As you saw from our news release this morning, we reported third quarter 2025 earnings of $0.83 per share. With this solid quarter, we remain on track for strong 2025 results. Our focus on executing the fundamentals of the business is creating real value for our customers and stockholders. Today, we are reaffirming our earnings guidance for the year at a range of $5.17 to $5.27 a share. Of course, this assumes normal weather through the remainder of 2025. In addition, I'm excited to share our new 5-year capital plan. Let's start by talking about the economic growth that's driving the plan. We continue to see major business building a future in our region. Overall, our electric demand is expected to grow 3.4 gigawatts between 2026 and 2030, an increase of 1.6 gigawatts compared to the prior plan. Microsoft is making good progress on its large data center complex in Mount Pleasant, Wisconsin. The company has stated that the first phase of that project is on track to go online next year. In addition, Microsoft also recently announced plans for a second phase in Mount Pleasant that will be similar in size and power. Its projected investment is an incremental $4 billion on top of the original $3.3 billion investment. The economic development south of Milwaukee is supporting approximately 2.1 gigawatts of our overall 3.4 gigawatt demand growth. And as you recall, Vantage Data Centers has signed on to develop data center facilities on approximately 1,900 acres north of Milwaukee in Port Washington. Just last week, Vantage has announced that this campus named Lighthouse will be part of open AI and Oracle's partnership on the Stargate expansion. Vantage has reported that the site has the potential to reach 3.5 gigawatts of demand over time. Right now, we're focused on providing generation for an estimated 1.3 gigawatts of demand at the site in the next 5 years. The city of Port Washington approved Vantage is planned in August for the initial development on 670 acres. Vantage has stated that it expects to invest $15 billion in the project. The campus will feature 4 data centers and construction is planned to start this year. Vantage has announced that the facility could go online in late 2027 with this first phase of the project scheduled for completion in 2028. Of course, the growth of large customers is also fostering small commercial and residential development throughout our service territory. And Wisconsin's unemployment rate stands at 3.1% continuing a long-running trend below the national average. This significant economic development is driving our capital plan. As you may have seen from our announcement this morning, we expect to invest $36.5 billion in capital projects between 2026 and 2030, an increase of $8.5 billion above our previous 5-year plan. That's more than a 30% increase. With this updated capital plan, we expect asset-based growth at an average rate of just over 11% a year. We expect that strong asset base growth to support our updated long-term projected earnings per share growth of 7% to 8% a year on a compound annual basis between 2026 and 2030, This is based on the midpoint of our 2025 guidance. For the next two years, however, we expect to maintain our existing EPS growth rate of 6.5% to 7% on a compound basis and then accelerate starting in 2028 to the upper half of the new guidance range on a compound basis. As you are well aware, we're in the early stages of deploying the capital required to support the robust growth in our region, and it takes time to fully put the projects in service. The increase in our plan is driven by investments in regulated electric generation, transmission and distribution in Wisconsin and the pipe retirement program in Illinois. Let me give you a few more details. Over the next 5 years, we'll utilize an all-of-the-above approach for generation to support the economic growth and reliability by investing in new natural gas, batteries and renewables. The key for reliability is dispatchable resources. Between 2026 and 2030, we expect to invest an incremental $3.4 billion in modern, efficient natural gas generation versus the prior plan. This includes combustion turbines, reciprocating internal combustion engines or race units and upgrades to existing facilities. We also will continue to invest in renewable generation and battery storage increasing our projected investment by $2.5 billion over our prior plan. In addition, American Transmission Company plans to continue to invest in our transmission capabilities to serve our region's economic growth, connect new generation and strengthen the system. Part of that new transmission is planned to serve customers and new data center needs. Our plan calls for us to invest approximately $4.1 billion in ATC projects between 2026 and 2030. This represents a $900 million increase from the previous plan. And to help assure reliability and support economic growth, we're continuing to invest in our electric and natural gas distribution networks with an additional $2 billion in the plan. This includes significant investment in our pipe retirement program in Chicago. Recall that the Illinois Commerce Commission directed us to review -- directed us to focus on retiring all cast iron and ductile iron pipe with a diameter under 36 inches by January 1, 2035. We expect that over 1,000 miles of older pipe will need to be replaced. Turning to the regulatory front. I have just a few updates across our service areas. In Wisconsin, our proposed very large -- or BLC tariff remains with the Public Service Commission for a review. As we discussed earlier this year, this tariff is designed to meet the needs of our very large customers while protecting all of our other customers and investors. As currently proposed, and in our testimony filed earlier this month, the tariff would provide for a fixed return on equity in an updated range of 10.48% to 10.98% and an equity ratio of 57%. These financial terms have been agreed upon with the customers. The proposed terms of the agreements are 20 years for wind and solar and the depreciable lives for natural gas and battery storage assets. We worked with a very large customer in designing the tariff, including the financial parameters, and we believe the tariff is a key component to making Wisconsin a prime spot for data center investment. We have a procedural schedule and provided our direct testimony earlier this month. A commission order is expected by early May of next year for customers to take service in June. And in Illinois, we are continuing to coordinate with the City of Chicago under Pipe retirement program. As we are ramping up these efforts, we will continue to have regulatory reviews of the process. This includes the forecast in the general rate case proceeding, which we are planning to file in early 2026 for test year 2027. Of course, we'll keep you updated on any further developments. Now I'll turn it to Xia to provide you more details on the financial results and our financial plans.
Liu Xia: Thank you, Scott. Our third quarter 2025 earnings were $0.83 per share $0.01 over third quarter 2024 adjusted earnings. Our earnings package includes a comparison of third quarter results on Page 16. I'll walk through the significant drivers. Starting with our utility operations, earnings were $0.12 higher when compared to third quarter '24 adjusted earnings. Weather positively impacted earnings by about $0.01 relative to last year. Compared to normal conditions, we estimate that weather had a $0.03 favorable impact in the third quarter of 2025 compared to a $0.02 favorable impact in 2024. Rate-based growth contributed $0.15 more to earnings and timing of fuel expense, tax and other items added another $0.07. These positive drivers were partially offset by $0.06 from higher depreciation and amortization expense and $0.05 from higher day-to-day O&M. In terms of our weather-normal retail electric deliveries, excluding the iron ore mine, we saw a 1.8% increase compared to the third quarter of 2024. This was led by the large commercial and industrial segment, which grew 2.9%. The residential and small commercial and industrial segments grew 1.3% and 1.4%, respectively. Overall, we are slightly ahead of our annual electric sales growth forecast. Looking ahead, with the updated load growth, we now expect our annual electric sales growth to be between 6% and 7% for the period 2028 through 2030, that's up from the 4.5% to 5% we previously forecasted. Turning to American Transmission Company. Capital investment growth contributed an incremental $0.02 to Q3 earnings versus 2024. And at our Energy Infrastructure segment, earnings increased $0.01 in the third quarter of 25% from higher production tax credits. 0next, you'll see that earnings from the Corporate and Other segment increased $0.11. This was largely driven by tax timing and higher interest expense. In terms of common equity, we issued about $800 million through the first 9 months via our ATM program as well as the dividend reinvestment and employee benefit plans. This largely satisfied our common equity needs for this year. As Scott noted, we're reaffirming our 2025 earnings guidance of $5.17 to $5.27 per share. This includes October weather and assumes normal weather for the remainder of the year. Going forward, with the updated capital plan, we expect our EPS growth to accelerate post 2027. Overall, based off the midpoint of the 25% guidance range, our long-term growth rate CAGR is expected to be 7% to 8% through 2030. Now let me comment on the financing plan that supports this growth and the new capital plan. As we have consistently guided you, we expect any incremental capital will be funded with 50% equity content. When compared to the prior plan, we added $8.5 billion of capital and about $4 billion of incremental equity content equally split between incremental common equity and hybrid or like-kind securities. So here are the details of the funding sources. Over the next 5 years, we expect cash from operations to be approximately $21 billion, funding more than half of our cash needs. Approximately $14 billion of the funding is expected to come from incremental debt, and the remaining cash is expected to be funded by approximately $5 billion of common equity. As a reminder, the cadence of common equity is a function of capital expenditures. For 2026, we expect common equity issuances to be between $900 million to $1.1 billion. In closing, as Scott discussed previously, the strong economic development and low growth in Wisconsin is the foundation of our new 5-year plan. With the asset base forecasted to grow at 11.3% a year on average, we expect to nearly double our asset base over the next 5 years. It's important to note that the bespoke assets allocated to our very large customers, are projected to represent 14% of our total asset base by 2030. As a reminder, the tariff is designed so these customers pay their fair share and are not being subsidized by other customers. We're very excited about our company's future and the investment opportunities ahead of us. With that, I'll turn it back to Scott.
Scott Lauber: Thank you, Xia. Finally, a quick reminder about the dividend. As usual, I expect we'll provide our 2026 dividend plan and earnings guidance in December. We continue to target a payout ratio of 65% to 70% of earnings, and we're currently positioned well within that range. We expect to grow the dividend at a rate of 6.5% to 7%, consistent with our past practice. Overall, we're optimistic about our 5-year plan and the longer-term outlook. I think we're in the early stages of the growth cycle as we continue to see opportunities in economic development in our region, including data centers. We look forward to providing additional details on our plan in just over a week at the EEI conference. Operator, we are now ready for questions-and-answer portion of the call.
Operator: [Operator Instructions] We'll take our first question from Shahriar Pourreza at Wells Fargo.
Shahriar Pourreza: Just on the -- obviously, just on the updated growth outlook, I mean there is that inflection post 27. I guess some would be surprised it's more back-end loaded. Can you maybe just walk us through how the CAGR shapes kind of in that back half of the plan? Can it be accelerated? -- other incrementals? Is there an opportunity to smooth this out a little bit?
Scott Lauber: Sure, sure. Great question. And remember, as we historically have done, we've always taken the midpoint of the current year's guidance, the 2025 guidance and looked at a compound annual growth rate I think it will help if I give you a little color of what we're seeing year by year and think about it as you look at our capital plan. So in the first year in '26, we're seeing $6.5 billion to $7 billion. I think as you start looking in '27 then, you can see our capital plans are ramping up to a little almost $7 billion and over $7.7 billion. When you have that, you're going to see part of those earnings coming in. So in 2027, we're seeing 7% to 8% probably on that annual basis year-over-year growth versus looking at it on a compound basis. And then when you look at those outer years, '28 through '30, I'm seeing closer to 8%. That's kind of where we're seeing. It just takes a while to ramp up really lines up well with what our capital plan is -- and that's how you get that compound growth rate that 7% to 8% at the upper end of our plan here. Does that add a little color?
Shahriar Pourreza: No, it does. And is there any opportunity, Scott, to smooth it out a little bit? Or is this the plan is the plan.
Scott Lauber: Well I think there's some opportunities that we could see as things potentially accelerate. There's a lot of stuff that we're asking for approvals for and the commission is doing a great job getting us approvals. There's just a lot of activity and we want to be very prudent -- what it takes to get approvals, what it takes to actually get everything to start building those plans. So I think there's opportunity there. We're just -- we don't like to have any white space, we want to make sure we can execute and we want to make sure we can deliver. And we feel this is very, very executable.
Shahriar Pourreza: Perfect. I appreciate that. And then just my perennial question for you is just around the Point Beach conversations just with NextEra. I guess any sort of sense of timing around an announcement? Are you still to have an Analyst Day coming up in early December. Are you still thinking about year-end? Or are the conversations kind of shifting a little bit further out?
Scott Lauber: Yes, that's a great question. And the conversations are still going on. They're maybe shifting a little bit further out. I just wanted you to know in this plan, we haven't assumed 1 way or the other. So we have no capital in here if we had to replace that capacity. In the end, we're really looking at what's the best for our end-use customers and what value we have for the customers. We just got to be very prudent. We have a lot of opportunities, we think, in fact, -- if we don't renew something, I think there's potentially capital upside. We're just going to really look at it from the perspective of the customer and what makes sense overall.
Operator: We'll take our next from Julien Dumoulin-Smith at Jefferies.
Julien Dumoulin-Smith: I am wearing the rally cap for you guys here today on this one.
Scott Lauber: I appreciate that.
Julien Dumoulin-Smith: Of course. With that said, there's a lot to take on here. Let me come back to the question on this Microsoft expansion in the second phase. Obviously, they made some headlines recently. How should we interpret that as being incremental or not to the plan if eventually there's something folds in there? I mean, to what extent is it or isn't it fully reflected here?
Scott Lauber: So -- and we work with Microsoft, along with all the other customers in Southeast Wisconsin that we came up to that 2.1 gigawatts for Southeastern Wisconsin. And I can't really divulge individual customer information -- but let's just say I'm very confident in the growth we have in Southeastern Wisconsin, and I think there's more growth in the remaining 5 years when you think about the next 5 years of our plan. And I don't know if you had a chance to listen to the Microsoft conference call, they actually called out the growth in Southeastern Wisconsin. They call the data center Fairwater. It's the world -- expected to go online next quarter or this quarter, they announced it expects to go online next year. And they say it could scale up to 2 gigawatts alone. So I think -- and I can't speak for them, but when you look at the overall picture, I think there's a lot of opportunities as you think about the next 5 years also.
Julien Dumoulin-Smith: Got it. Excellent. If I can needle you on a couple of details here. One thing that stood out here, you raised the transmission CapEx by slightly less than $1 billion. But I think the Port Washington transmission project itself with ATC was 1.3%. Is that fully in there? Again, I know it's a partial ownership for you guys, et cetera, but -- just wanted to clarify that here.
Scott Lauber: Sure. And we're a 60% owner of American Transmission Company. So it's all kind of factored in here. I think there's maybe a little bit more upside as we see other data centers in there. I think it's probably the basic is factored in our plan. So there's probably a little more upside at that $1.4 billion. I think that even came out after the original ATC forecast was pulled together. So I think there's a little bit more runway there. Remember, there's only so much transmission you kind of do on the system at a time. So it's maybe limited a little bit by that.
Julien Dumoulin-Smith: Got it. And sorry to one more here. The ramp in Illinois seems a little bit more than perhaps some were expecting. Again, it's a pretty healthy number here with the $1.5 billion. Can you speak a little bit to what's taking place there? And also, if you have any latest thoughts about what could happen with this Illinois legislation, if it has any meaningful impact for you guys?
Scott Lauber: Sure, sure. It's very consistent with what we've been laying out that it's going to ramp up some in 2026, then in 27, and we expect we'll be up to about that $500 million in 2028 and going forward. Remember, we had about $90 million a year on the plan. So it falls in line between that $1.4 billion and $1.6 billion. We have $1.5 billion in here. So that all is kind of consistent with what we've been saying. The Illinois legislation, we'll see where that goes, is a little bit on the efficiencies in there. I don't think you'll have a significant effect on us, but we, of course, are watching it.
Operator: We'll move next to Michael Sullivan at Wolfe Research.
Michael Sullivan: Scott, I wanted to start with Slide 22. If you could just help on the just bridging the asset base growth to earnings growth? Is the delta there from 11% to 7%-8%? Is it all just equity dilution? Or is there anything else we should be thinking about it? And then on that same slide, of asset base with the bespoke customer? Is that like a proxy for like earnings attached to those projects as well?
Scott Lauber: So a couple of items, and we'll let Xia address it, too. At a high level, the bespoke portion there that's to identify people had asked how much of the potential rate base in those outer years will be tied to that very large customer tariff. And that's the current projection. And it's about 14% of our asset base up in 2030, dealing with that, the renewables and other stuff that the VLC payer will cover. And then the 11.3% to our growth rate, a large of it is just dealing with choice. I think it looks like what we do with the financing and the dilution from the equity issuance.
Liu Xia: Yes. I think roughly 3% is from the equity and the rest is the little bit holding company, Terry, Michael? .
Michael Sullivan: Okay. That's very helpful. And then sticking with the financing plan, any sense of where you are in terms of capacity for junior subs and hybrids? Like are there any thresholds that eventually you run into at some point or still a lot of runway?
Liu Xia: Still a lot of runway. And as you know, the agencies have a slightly different definition for the capacity, S&P uses percentage of the total capitalization and Moody's uses a percentage of the total debt capacity. The 5-year plan with the planned juniors sub, we still have billions of dollars of capacity left. So we're good.
Operator: We'll take our next question from Nicholas Campanella at Barclays.
Nicholas Campanella: I wanted to ask just a very large increase in the capital plan and the rate base growth following that. That's obviously coming with a financing need. And you are in a lot of different states and jurisdictions. I noticed that you also, as part of this plan, put some capital out of WEC infrastructure. Just wondering what the appetite is to recycle capital to replace common equity needs or other financing needs in the plan?
Scott Lauber: Sure. That's a great question. And if there was an opportunity that came along, we, of course, would look at it. We just want to make sure that it fits our financial parameters. It will be good for investors. But we really like the performance of our -- of some of our smaller companies. They perform very well. They don't take a lot of work, and we continue to execute on them. We've got a great team there. So it's not like we're looking to sell them at all. But if an opportunity would exist, we would always look at that opportunity. We just want to make sure it's good for our investors.
Nicholas Campanella: Okay. Great. And then I guess just as we think about the ability for current customers to gross up commitments in your territory or potential new customers? I guess one thing we've heard through this earnings season from some other companies, they talked about just available turbine capacity, what their advantage in the supply chain would be to kind of deliver on those incremental deals. How do you kind of think about that from the WEC side if Vantage was to come and do an increased commitment or Microsoft was to come or other large load customers. Do you have the turbines or maybe the renewable agreements to kind of execute on that?
Scott Lauber: Sure. Great question. And we have a team that works with our very large customers and potential additional customers on how we could supply either an accelerated load on their basis or additional load or new growth. So we are working with them every day. We have a robust supply chain and working with developers to have a path to be able to serve that. So very -- feel very confident that the load will increase, and we could work with them. So we have been working with them behind the scenes for several years on this to stay ahead of it. What you're seeing in the plan, though, is what they have firm commitments to.
Nicholas Campanella: Maybe if I could just sneak one more in quickly, just on Point Beach. Just recognizing the license extension there just recently happened in the last few months, what's just the state of urgency from state stakeholders to kind of further lock up this capacity through the end of the decade or the end of 2030 now? And is that something that you think we could see by year-end?
Scott Lauber: So I mean, we've got the capacity, I think it's to 2030 and 2033. So we have a lot of time. We've been working with NextEra. We just got to make sure that we have the right agreement for our customers. But as I said, we do have access to other abilities if we need to replace that capacity. So we're working with them. We just got to get to a right position. And if we get there, great. If we don't get there, there's a lot of opportunities for us, too.
Operator: Next, we'll move to Andrew Weisel at Scotiabank.
Andrew Weisel: First question -- sorry, if I'm getting 2 Qs here, but for '28 to '30, are you implying 8% or like 7.5% to 8%? And if it is the latter, doesn't the math suggest that the overall 5-year period would be below the midpoint?
Scott Lauber: Well, I don't think it will be below the midpoint. I think we're going to look at probably in that 8% area that will get us to the midpoint on a compound basis.
Liu Xia: I think there's a little confusion, Andrew, in terms of the upper half on the slide. I think that's a compound number of the midpoint of 2025. What Scott is talking about is on an annual basis, if you look at from '27 to '28, '28 to '29, we're seeing that 8% range. And if you compound it back, that's the 7% to 8% of the midpoint of 2025.
Andrew Weisel: Okay. Great. Just wanted to clarify. So it's about 8% for the later years, right?
Liu Xia: On an annual basis.
Andrew Weisel: Okay. Great. Just wanted to clarify that. Next question, on the CapEx update, first of all, very impressive numbers, a huge increase. What I want to understand, though, is it's an $8.5 billion increase. But when I add up the pieces on Page 18, I'm calculating a total of $8.1 billion. So I don't know if it's rounding or if there's some pieces missing, but can you help me bridge that gap? Where is the extra $400 million coming from?
Scott Lauber: Yes. That's -- I mean we just kind of picked out a couple of the highlights there. I guess if you do the specific reconciliation with the bar chart, you have a little bit more gas distribution of a couple of hundred million. And then I think it's kind of cats and dogs and generation and everything else. We just called out the significant ones.
Andrew Weisel: Okay. That's what I thought. I just wanted to be sure. Then lastly, in terms of demand, again, a big increase. You're forecasting 3.4 gigawatts by 2030, up from 1.8 gigawatts in '29 previously. Is that increase related to data center projects you've been talking about ramping up? Or is it some of the other manufacturing activity you've discussed in the past? I know there's a lot going on along the I-94 corridor. How much of that is like existing projects ramping versus new incremental projects coming online?
Scott Lauber: Yes, great question. So when you look at it, it's about 1.6 gigawatt growth, 1.3 is the Vantage data center in Port Washington. And then in Southeastern Wisconsin, as you can imagine, a significant part is from the data center in Southeastern Wisconsin, but it really is all the customers in that area. We have Eli Lilly expanding. We've got Amazon. We've got other companies coming to the region. And then that's not even counting all the residential load we're starting to see in new construction starting in the area. So I think it's all of the above, but definitely significantly related to database or data center growth.
Operator: We'll take our next question from Sophie Karp of KeyBanc.
Sophie Karp: Comprehensive update today. So if I may just dig in a little bit on the data center announcements, right? There's been a slew of announcements lately, some assets traded hands. So I think there's some confusion, what's incremental, what's in the plan. So could you make it very clear to us what's actually in the plan of the recent gigawatts of announcements and what yet is not in the plan, I guess?
Scott Lauber: Sure, sure. So what's in the plan, and we have Southeastern Wisconsin. So there's 2.1 gigawatts down there that includes the Microsoft, what they have told us to factor into this 5-year plan. And then in Northern in that Port Washington site, it's really -- I would look at it as being Vantage and Vantage has worked with Oracle. So those are the same megawatts at 1.3 gigawatts, okay? So Vantage/Oracle is 1.3 gigawatts. That's what's in the plan. What's not in the plan is there's additional land of about 1,200 acres in Port Washington that potentially could house another, what, 2 gigawatts plus of additional capacity. And then in Southeastern Wisconsin, when you think about the Microsoft site, there's additional 700-plus acres that they have there that I think could be for future development that also could add into the overall gigawatt usage. So I think there's a lot of opportunity for future growth here. I hope that help clarifies it.
Sophie Karp: Yes. So it sounds like the plan as it stands right now is just like super conservative. Is this a fair way to say?
Scott Lauber: Yes. We only put what the other -- what the customers are announced and provide us the information on.
Sophie Karp: Got it. Okay. And my other question was this like when you -- it's very helpful color when you talk about 14% of your rate base being under the large load customer tariff by the end of 2030 or by 2030. What do you, I guess, expect -- and the economics are never pretty clear, right, is the premium economics on that chunk of rate base. What do you expect the economics to be for the rest of the rate base? Like when you formulate your plan, do you expect that, I guess, they will -- the overall average will be similar to what you have today, the trajectory of what you have today or for the lack of a better word, some deterioration in the economics of the rest of the rate base? Or do you expect the -- take the rest to be unaffected by the presence of this like new premium part of rate base?
Scott Lauber: Right? So we assume the rest of the rate base earns the current authorized return that we currently have in all the -- each of the jurisdictions when you look at them separately. And then when you look at Wisconsin, the Wisconsin right now, we're at that 9.8% ROE and depending upon the utility, like a 57.5%, 58% regulated ratio on Wisconsin Electric that each of those earn their separate return. Remember, the foundation of our tariffs is that the large customers don't get subsidized or subsidize the other customers they -- each pay their fair share. So we keep them as separate.
Operator: We'll take our next question from Ryan Levine at Citigroup.
Ryan Levine: Two quick questions. Just in terms of the execution or state of conversations for some of the Vantage expansion beyond the 1.3, any color you could share around maybe the engagement level or the time line that conversations are progressing through?
Scott Lauber: Sure. So we're always in our discussions with Vantage, Microsoft and potential others -- but right now, Vantage, as we said in the prepared remarks, are really concentrating on that first 1.3 gigawatts. I think they had a press release out there. They're going to have construction of about 4,000 construction workers out there when they're able to start construction. So I think everyone is concentrating on that. We'll have more discussions over the next -- probably next year. But I think everyone is just concentrated on the first part of the load, which is what we want to make sure we can achieve too.
Ryan Levine: Okay. And then there was a lot of mention about Microsoft and Oracle. But beyond those 2 customers, the engagement level fairly broad? Or is it really focused on a more narrow group of potential customers for expansion?
Scott Lauber: We have other customers that we're talking to, but those are the 2 main ones that are already in the area and made public announcements. We're talking to others. I don't want to jump that like -- I try to play it pretty close to let them make the announcements or them sign purchase cancellation agreements before we get ahead of our skis on potential. But we are talking to others.
Ryan Levine: Okay. And then unrelated, just to clarify around your plan, is the assumption embedded in the plan conservative and that doesn't assume an outcome or doesn't assume the higher very large load tariff ROE and to the extent that you were to be successful in that application that, that would be additive to the plan or help provide additional buffer?
Scott Lauber: No. I mean, we're assuming the very large tariff is implemented. What we talked about on the call, there is a range of ROEs, 10.48% to 10.98%, which we really stay with the fundamentals of making sure we don't have a secondary effect that hurts our other customers. And those are more on -- we're working individually, and we can't give more details, but on a higher return on some of it to that 10.98%. But more to come on that as we continue to work with our customers on it.
Operator: We'll move next to Paul Fremont at Ladenburg.
Paul Fremont: First question has to do with the Microsoft announcement where they canceled the Caledonia site. But what they said, I think, was that they would continue to look for alternative sites in Southeastern Wisconsin in your service territory. What other locations do they have land? Or do you potentially have land that you would be able to sell to them?
Scott Lauber: Yes. Good question. So you are correct. They're looking for a different site than what was the original plan. We really don't have that significant type of land available elsewhere, but I don't know their specific plans. So I know they said they're looking at other places in Southeastern Wisconsin, probably more to come in that area. It's just good that they're -- this is really great for the area when you think about property taxes and good paying jobs. So I know they're early in their look, so we'll see where that goes. But once again, that's a potential for more upside on our load.
Paul Fremont: Great. And the timing of how long it would take for them to find sort of a replacement type scenario, would it be like 12 months? Or what would you -- what would be sort of a reasonable assumption?
Scott Lauber: Yes. And I can't talk for Microsoft, but they move pretty fast. I think a year is may be reasonable, but we'll see where it goes.
Paul Fremont: Okay. My next question on Point Beach would be, if you're unable to reach an accommodation with NextEra, what type of generation would you build? And when would you have to start building it?
Scott Lauber: Yes. That's a good question. And we'll look at it, but it would have to be something that would be dispatchable that we could cover the dispatch on. So it would have to be some type of gas. We'll see what the EPA rules. Do we eventually look at a combined cycle maybe and maybe some renewables in there. So we like the all-the-above approach. And I know some people don't like renewables, but when you think the gas prices at times when they're high, renewables are very popular when gas prices are high. And also, we look at all of the above mix. So if you think about it, the contracts are 2030 and 2033. So there's still plenty of time. And like we said, we work with all our large customers and our planning team is looking at how do we replace this, and I'm sure we have several options available.
Paul Fremont: And then last question for me. When we look at the $4.8 billion to $5.2 billion of common equity, would some of that be junior subordinated debt? Or would any junior subordinated debt issuances be incremental?
Liu Xia: It's the latter. The $4.8 billion to $5.2 billion would be common equity.
Paul Fremont: And then is there junior subordinated debt contemplated then as part of your incremental debt?
Liu Xia: Correct. As I said in the prepared remarks, we added $4 billion of equity content. So 2 more of common and the other 2 would come from the junior subordinated debt or like-kind securities.
Operator: We'll take our next question from Anthony Crowdell at Mizuho.
Anthony Crowdell: Just one quick one. I'm curious with all the load and growth that we haven't seen for years in this sector, I'm curious if this is making earnings forecasting and rate base growth forecasting easier or harder? Like is it chunkier with these large loads coming in, and it's becoming more of a challenge of forecasting out? Or is this all this load just such a tailwind and it's making life a lot easier on the forecasting?
Scott Lauber: Well, it's sure nice to have load to drive the capital plan, which makes it a lot nicer. But there's a lot of stuff that we have to keep into account, including the timing of in-service, the timing of the load, and we have a whole team working at staying ahead to make sure we have the turbines and the renewable sites located. So we always like growth. We'll take on that challenge. It just takes a lot of people, a lot of bodies monitoring and keeping on top of everything. And the key is execution. So we have a whole group executing on the capital projects as we're -- as we got commission approval this summer, we're working on those projects right now. So it's just different. Let's put it that way.
Operator: Next, we'll go to Steve D'Ambrisi at RBC Capital Markets.
Stephen D’Ambrisi: I just had a quick one just about -- a lot of the questions today have been about 2 existing hyperscale sites expanding and when. But I think what's interesting to me is realistically, you guys are relatively unique in the fact that you don't really talk about a sales funnel of other customers. And so I guess what I would most be interested in is, do you think that getting the VLC tariff through the Public Service Commission will help potentially broaden the customer base? Like clearly, you've had success citing some of the biggest data centers in your service territories that we've seen across the country. And so just interested to hear about potential other people.
Scott Lauber: Yes. That's a good question. I think the very large customer tariff, in fact, we attract some of our -- the first customer before we even had a tariff. So I think if you think about location, the ability for WEC and American Transmission Company to be able to deliver and provide the generation and renewables and transmission to help energize their sites and move fastly in the Wisconsin environment and in the MISO footprint, I think that is a great advantage. I think also being in Wisconsin, you got a cooler environment for air storage cooling. So I think that's -- it's an advantage, and we don't have the natural disasters that other parts of the country have. So I think all of those are positive. Our customers, our very large customers, we worked with them as we filed the very large customer tariff. So I think they considered and I've heard several times how it's fair. I think that's also a plus. Once it gets approved, I think that will definitely be helpful. I think the key is and all our large customers make sure that we do not affect any other customers' rates. So that was good as a foundation for it. So having it approved, I think, can only help, but we're really excited about the pipeline we are talking to now and the potential growth at the significant sites that we have already going in Wisconsin.
Operator: We'll go next to Bill Appicelli at UBS.
William Appicelli: Most of the questions have been asked. Just one question clarifying. Just on the step-up in the asset base growth. Was there any additional offsets there or anything that came out? Just thinking because the back of envelope math maybe would have supported given the $8.5 billion of CapEx, something maybe a little bit closer to 12%. So I'm just curious if there's anything else different in the bridge there.
Scott Lauber: No. I think the only thing we took out is we don't have any investments in [ WECE ] for the most part. But overall, I don't think there's much other changes there. It's just more back-end loaded starting more in '27, I guess.
William Appicelli: Okay. And then just what -- from an affordability perspective, what's embedded in this plan in terms of the -- on the electric side in terms of average annual rate increases for residential customers?
Scott Lauber: So we will be filing a rate case in Wisconsin for our biannual process. So we're pulling those numbers together now that we'll file sometime in the end of the first quarter, most likely beginning of the second quarter. We're looking at inflation type increases, but it's early in the process now. The key is none of it is going to be costs that are coming in from any of the hyperscalers. They're paying their fair share.
Operator: And our final question today comes from Carly Davenport with Goldman Sachs.
Carly Davenport: I just had one clarification. Just on some of the other growth opportunities. As you think about the next 5 years, do you see incremental capacity and potential on the system for more load to be added in the course of the current plan? Or would that be largely beyond the 2030 time frame as you think about those opportunities?
Scott Lauber: So I think as we work with these very large customers, I think at the end of our current 5-year plan, we potentially could see additional growth come in depending upon how they look at their individual development. So I think there's a potential for both on the current plan plus in the next 5 years.
Carly Davenport: Great. I'll leave it there.
Scott Lauber: Sounds good. Thank you. All right. That concludes our conference call for today. Thank you for participating. If you have more questions, feel free to contact Beth Straka at (414) 221-4639.
Operator: And this concludes today's conference call. Thank you for your participation. You may now disconnect.